Operator: Thank you for standing by. This is the conference operator. Welcome to the Ero Copper Corp. 2020 Year-End Financial and Operating Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Noel Dunn, Executive Chairman of Ero Copper for opening remarks. Please go ahead.
Christopher Dunn: Thank you, operator. Thank you, and good morning, everyone. The news release announcing our fourth quarter 2020 year-end financial results is available on our website and on SEDAR, as are our financial statements and MD&A for the year ended December 31, 2020. We will, of course, be making forward-looking statements on this call that involve risks and uncertainties concerning the businesses, operations and financial performance of the Company. We would refer you to our most recent AIF, also available on SEDAR, for a discussion of the risk factors of our business and their potential impact on our future performance. Unless otherwise noted, all amounts mentioned on this call are in U.S. dollars. Joining me today are David Strang, Ero's Co-Founder and Chief Executive Officer; Wayne Drier, Ero's Chief Financial Officer; Makko DeFilippo, Ero's President; and the newest member of the Ero team, Courtney Lynn, Vice President, Corporate Development and Investor Relations. Before discussing the financial performance and overall strength of the Company, I think it's worth reflecting on that our 2019 year results call, nearly 12 months ago to the day, we were embarking on a highly uncertain path in being able to effectively manage COVID-19 across all our operations. Looking back on 2020, I'd like to congratulate our entire team in what has been a tremendous effort, ensuring that our operations continue to perform well and that all our key projects remained on track. We continue to remain vigilant as an organization with respect to COVID-19. In 2021, we have increased commitments to the communities in which we operate to aid in local management efforts. Within our operations, we continue to implement the same successful mitigation practices that commenced in early 2020 to ensure the continuity of operations and the health and well-being of our in-country colleagues. Our business is running extremely well, and we continue to have no material disruption to our operations, supply chains or sales channels through the hard work and commitment of our team in these efforts. 2020 was an excellent year for the Company, with adjusted EBITDA of $207 million, rising 54% on the year before; and adjusted earnings of $1.27 per share, rising 35%. As importantly, we ended the year with a record cash balance of $62.5 million, putting us in a strong position going into 2021. Yesterday, we finalized amendment to our credit facilities with BMO and Scotia, rolling the outstanding principal of our senior secured debt into a single $150 million revolver now due on March 31, 2025. This amendment eliminates principal repayments previously due in '22, '23 and '24, moving us well positioned to execute on our growth objectives over the near to medium term. Our strategy for the Company is simple and can be broadly summarized in three key areas: number one, continue to advance all available levers within our low capital intensity and high-margin growth pipeline; two, we remain focused on innovation and operational excellence; and three, align our organizational objectives and financial outputs, such as generating high returns on invested capital with input from our key stakeholders in order to foster trust and enable sustainable growth for years to come. By all metrics, 2020 was a remarkable year for the Company, and our underlying business is extremely well positioned. As the world shifts towards decarbonization, fundamentals for copper frankly never looked this promising. And it's an exciting time to be a low-cost, high-margin producer. I'm also delighted over the years, we have now built a world-class team who are executing on a number of high-quality growth projects in our portfolio. If that is not enough, we started the year with the strongest balance sheet we've ever had as a company. With that, I will now pass the call over to David to provide a brief review and update of our operations, and Wayne will provide a review of the Company's financial performance. We will all be available for questions immediately following the call.
David Strang: Thank you, Noel. Our fourth quarter and full year operating results were pre-released along with 2021 guidance in early January. So, I will just touch on a few highlights from the 2020 as well as some of the programs underway this year, so as to leave sufficient time for questions following the call. Focusing on operational highlights and outlook for our MCSA operations in the Curaçá Valley first, operations continued to perform well throughout the fourth quarter. We produced 10,018 tons of copper and concentrate, resulting in full year production of 42,814 tons of copper, achieving the high end of our guidance range. During the fourth quarter, we milled 483,447 tons of ore grading 2.26% copper and achieved metallurgical recoveries of 91.7%. Noteworthy improvements in metallurgical recoveries during the second half of 2020, including the fourth quarter, are largely attributable to the commissioning of the HIG Mill in late 2020. We continue to see improvements in metallurgical recovery thus far in 2021. And while process optimization work around the unit is ongoing, we are very pleased with this performance so far. C1 cash cost for the quarter were $0.69 per pound of copper produced, resulting in full year C1 cash costs of $0.67 per pound, falling well below the low end of our 2020 guidance range of $0.70 to $0.85 per pound. Operating cost performance throughout 2020 was underpinned by operational execution as well as currency and by-product precious metal price tailwinds, all of which have continued into 2021. Our reaffirmed guidance for 2021 continues to reflect this operational excellence. We are guiding for a total of 2.7 million tons grading 1.75% copper to be processed during the year, producing between 42,000 and 45,000 tons of copper in concentrate after improved metallurgical recoveries of 93%. At the NX Gold Mine, we achieved record quarterly production since commissioning the Santo Antonio vein at world-class operating costs. During the quarter, we produced 10,789 ounces of gold at all-in sustaining costs of $608 per ounce, resulting in full year production of 36,830 ounces of gold at all-in sustaining costs of $628 per ounce, a 21% year-on-year improvement in production and a 29% reduction in all-in sustaining costs when compared to our 2019 results. We are guiding for between 34,500 and 37,500 ounces of gold production from NX Gold in 2021. Our capital expenditure and exploration guidance for 2021 reflects our commitment to a high-return organic growth, with total consolidated capital expenditures including growth projects expected to be between $95.5 million and $109.5 million and total consolidated exploration expenditures of between $38 million and $45 million, both between MCSA and NX Gold. Throughout our portfolio as Noel mentioned, we remain committed to advancing all of the assets. Firstly, at the MCSA mining complex, we hit the ground running on our exploration campaign in January and currently have 22 drill rigs operating with our focus on discovery. Throughout the course of this year, we expect that we will continue to demonstrate down plunge high-grade continuity within the Deepening Extension zone of the Pilar Mine and demonstrate the potential for mine life extensions of the Vermelhos Mine through our drill results within the Southern Vermelhos corridor. With those near-mine programs well in hand, our core objective for this year on the exploration side is to demonstrate what we see as completely untapped potential of the Curaçá Valley. We're excited as we have ever been in this endeavor. At the NX Gold mine, we have nine drill rigs currently operating on the largest exploration program in the history of the mine. As a brief anecdote, it's worth mentioning that after this year's program, approximately 85% of all exploration drilling conducted at NX Gold will have been under Ero's stewardship. The program at NX is focusing on extending mine life through extension and upgrade programs within the Santo Antonio vein and advancing the first regional campaign ever conducted on the wider NX Gold land package as we look to increase production by utilizing our spare load capacity. We expect more results from this in the coming months. Lastly, we at the Boa Esperanca project, we are progressing our optimization study and are confident that the new project, when it emerges from this work later in the year, should speak for itself and demonstrate that it deserves a place in our operating portfolio. Our ultimate goal for 2021 is to end the year with a robust pathway in place to significantly increase our production profile in the near to medium term at first quarter operating costs. Consistent with our scheduled quarterly updates, results from our ongoing exploration programs at both MCSA and NX Gold will be further detailed in our upcoming exploration update, which we typically release four to six weeks following our financial results. I will now pass over to Wayne, who will provide an overview of our financial performance.
Wayne Drier: Thank you, and good morning, everyone. Following on from Noel and David's comments, the fourth quarter was an outstanding one for the Company. While quarter-on-quarter copper sales volumes were lighter relative to third quarter, increased contributions from gold sales from NX Gold Mine and favorable commodity prices contributed to top line quarterly revenue of $91.2 million, in line with the prior period. In total, revenue for the Company in 2020 was $324.1 million, a 14% improvement over 2019. As mentioned, we achieved another great quarter with respect to operating and financial performance metrics across our operations. Strong revenues compared with low operating costs throughout 2020, including the fourth quarter, contributed to another record quarter of adjusted earnings before interest, tax, depreciation and amortization totaling $67.2 million. Full year adjusted EBITDA totaled $207.1 million, a significant 54% improvement over 2019 and reflective of the strength and profitability of our business in 2020. Cash flow from operations remained strong at $38.6 million during the fourth quarter, totaling $162.8 million in 2020. Relative to the end of the third quarter, a strengthening in the Brazilian real against the U.S. dollar and a reduction in underlying foreign exchange volatility through the end of 2020 resulted in a significant unrealized gain of $27.7 million on our foreign exchange derivative contracts and additional $7.7 million gain related to the translation of our U.S. dollar-denominated debt held in Brazil. During the period, we recognized approximately $7.8 million in cash settlement of maturing foreign exchange contracts, including an opportunistic settlement of a portion of our contracts maturing in 2021. In the near term, we anticipate approximately $4 million to $6 million in cash settlements of maturing foreign exchange contracts per quarter, depending on the prevailing exchange rate. On the flip side, however, the benefits of sustained weakness of the Brazilian real relative to the U.S. dollar disproportionately benefit our business, as evidenced in our year-end 2020 results. We expect this trend to continue through 2021. Our headline net income for the fourth quarter was $65.8 million or $0.71 per share. And after adjusting for the noncash components of the foreign exchange gain, our adjusted net income for the quarter was a record $37.4 million or $0. 40 per share fully diluted. Adjusted net income for the year totaled $117.3 million or $1.27 per share. The underlying growth in our profitability of our business over the past several years is evidenced across all of our financial metrics, but I would like to highlight that our 2020 adjusted net income reflects a $0.33 per share improvement over our 2019 full year results and a staggering $1.15 per share improvement when compared against our consolidated 2018 performance. I'm pleased to say that the Company's balance sheet and overall financial position has never been stronger, and we expect this trend to continue. Our balance sheet at year-end continues to reflect consistent quarter-on-quarter improvement in financial performance and strong cash flow generation. Total cash position at year-end was $62.5 million compared to $54.3 million at the end of the third quarter. In addition, as Noel mentioned, we successfully amended our existing credit facilities with BMO and Scotia to roll over the outstanding principal amounts into a single $150 million senior secured revolver payable in a bullet at maturity approximately four years from closing, which will be March 31, 2025. The Company's net debt improved by $12.8 million quarter-on-quarter as a result of both increased cash position and repayment of some of our BRL-denominated short-term lines of credit that were drawn during the first quarter of this year -- of last year, I beg your pardon. In summary, our business continues to run exceptionally well and generate significant cash flow, particularly at today's metal prices and foreign exchange rates. On that note, I'll hand the call back over to Noel.
Christopher Dunn: Thank you, Wayne. I'd like to reiterate the key themes of this call; one, exceptional operating and financial performance metrics across our core businesses through the end of 2020. Continued operational momentum into 2021, paired with a strong balance sheet, leaves the Company extremely well positioned to execute on our growth strategy. We're focused on advancing several high-value projects and objectives within our portfolio, including on the exploration and the project optimization front. As many of you have heard me say before, the combination of first quartile operating costs, low capital intensity on top growth potential and a prudent team of dedicated people driving the organization forward has and continues to be the foundation of our business strategy. And it's clear from all our perspectives that the best is yet to come for this company. Thank you for joining the call. We will turn it back to the operator, who will open the line for questions.
Operator: [Operator Instructions] The first question comes from Orest Wowkodaw with Scotiabank. Please go ahead.
Orest Wowkodaw: I wanted to touch base about strategy for this year. I think the last time we had a call, copper was nowhere near $4. And I'm curious, with the excess mill capacity that you have and your cost guidance for this year being so low, even below $1 a pound, do you have any flexibility to perhaps put some lower-grade material through the infrastructure to increase copper production, even if it increased your cost base a little bit, just given the margins in the current environment?
David Strang: Orest it's David. We do have some flexibility. And Anthea, as you know, our COO, and her team are looking at opportunities with regards to that. As you do know, we are in the he process of reopening the Surubim open pit mine, which I think is quite timely considering the move in the metal price and the opportunities that we'll have over the course of not only later this year but the next couple of years to mine more material from it. But we do have some flexibility within the system, and Anthea is looking at that right now, but nothing that we can commit to in the near term.
Orest Wowkodaw: Okay. And just again focusing on growth, does -- the higher price environment, does it do anything with respect to strategic thinking around Boa Esperanca? And I'm just wondering if you're -- if this may open the opportunity to perhaps bring that forward in your planning of sequencing of growth.
David Strang: Absolutely, as a lot of people know, last year, we did guide and we did discuss that we were looking at updating the Boa Esperanca feasibility study. As part of that review, I'm looking at the update. We saw opportunities to optimize the feasibility study that has been initiated. And that work is ongoing, and we hope to have something announced ideally sometime in the third quarter. I think by the body language by the statements that we made, we are fairly excited about some of the prospects that we're seeing with regards to Boa. That irrespective of what the metal price was, I think Boa, as we said and I said on the call and Noel said, that will speak for itself with regards to the robustness of that project when all is said and done. So I think be on the lookout for something in the third quarter, but certainly we are internally starting to feel a lot more bullish with regards to the prospects for Boa.
Operator: The next question comes from Stefan Ioannou with Cormark Securities. Please go ahead.
Stefan Ioannou: Great to see another strong quarter. Just not to harp on any issues, but just on NX Gold. I know late last year, you started running into some geotechnical issues, and you're ahead of sort of the paste-fill plant installation. Are those sort of manageable for the time being? Or have you had to sort of change the mine plan ahead of that paste-fill plant?
David Strang: With the geotech issues, we did change mine plan last year in order to mine a different area of the mine. The geotech issues with respect to the required paste-fill are in a very specific area of the mine. It's not throughout the mining sequence. What we have done, Stefan, is we've taken a reasonably conservative approach this year towards production, even though we know the timing of the installation of the paste-fill plant. But our expectation is, is once the paste-fill plant is up and running that we'll see some significant improvement in production from that particular area, but we're going to take a cautious approach with regards to guidance.
Stefan Ioannou: Okay, okay, great. And I know there were sort of some talk through last year just on the regional exploration around MCSA, that just sort of given COVID logistical challenges that on the regional front, things have sort of maybe slowed down or slightly curtailed. Is that still the case? Or are sort of things back up to sort of full steam ahead on the regional effort?
David Strang: I'd love to be able to say we're 100% full steam. I think we're probably 85 in that. We have had people being able to go to site, but we are still not able to do that on a regular basis from North America. However, we have mitigated that somewhat with the hiring of some additional support in Brazil for the Ero team there. And we're very, very happy. As we said, we've hit the ground running in January with the regional exploration program, the program overall. And I think it's very much watch this space as we continue to move forward in the first half of the year. We're doing some interesting stuff. Let's just leave it at that.
Stefan Ioannou: Okay, great. We look forward to the update in sort of four to six weeks. Thanks very much guys.
Operator: The next question comes from Jackie Przybylowski with BMO Capital Markets. Please go ahead.
Jackie Przybylowski: I guess I'm just maybe going to start off by just following up on Orest's question on Boa. You've got, I think, some color. It sounds like on this optimization that you're planning to put out maybe in Q3. Is that -- is it a feasibility study that you're planning to put out? Or is it a discussion about what the optimization process is? Like can you maybe tell us exactly what we're going to see later this year?
David Strang: Jackie, as we've already -- we inherited the feasibility study under 43-101. You can't revert to a lower study. So what we will be doing is putting out a full feasibility study that has been optimized.
Jackie Przybylowski: I just wasn't sure if it was commentary about the feasibility study process or if it was the study itself, but you're actually running an open study this year.
David Strang: No, no, no. We're putting out the study. And as you and I chatted at the BMO conference, it's is -- obviously, we don't want to get ahead of ourselves and get too far of our skis. But certainly, the initial parts of the study suggest that once we complete that feasibility study, we'd like to start considering moving quite aggressively forward with potentially developing the mine.
Jackie Przybylowski: That sounds terrific. Yes, I think you mentioned potentially doubling your copper production at some point, which would be a really big move for you guys. So that sounds great. It's like can I maybe jump to another question on timing? Similarly, you mentioned Surubim restarting. And I know in the press release, you said later 2021. Can you talk about the grade profile? Should we expect to see sort of higher-grade first half, and then lower-grade Surubim, affecting the grade in the second half? Is it sort of evenly split half and half? Or is Surubim coming in a bit later than that?
David Strang: Surubim itself in 2021 production will be much later in the year. We're doing some pre-stripping right now in terms of getting that project going. So it will be additive in the second half towards the end of the third quarter, going into the fourth quarter when we anticipate first production there.
Jackie Przybylowski: Okay. That's perfect. And sorry, if I can just ask one more. You mentioned in the release that you've got 5,000 samples prepared for PGM testing. And you've sent 3,000 of them, I think, to assay labs. You don't say how many of them have actually been assayed. And I think you did mention at the BMO conference a couple of weeks ago, there's still quite a backlog in the South African assay labs. Can you give us a status update on how those are going versus your own assay lab, how that's starting up? And would it make sense to bring some of those back and assay them in-house? Or once they're gone, is it just easier to wait them out?
David Strang: Yes, great questions. So we had sent 10,000 assays samples to South Africa, of which we received about 5,000 back, and we included that in our December exploration update on the preliminary view of PGM potential in the Curaca Valley. The remaining 5,000 or so assays, they are trickling in slowly. But I wouldn't say it's a river of assay results coming in, are slowly coming in but are still in South Africa at the lab there. With respect to our own lab, as we said to the market last year and we announced, we put our own ability to do this test work. That was hampered in terms of its start-up on PGMs, firstly, by the fact that we have to wait for standards to put together in South Africa. Those standards were eventually sent to us. And then unfortunately, it requires further calibration from a technician that they had to come out from South Africa to do that as well. So we're pleased to say finally we're over that hurdle. I think it was just merely a few days ago that Mike and the team told me that they had been done. So I anticipate in the future that our PGM analysis will speed up, but I do not have guidance for you whether we're going to take a turnaround and get the sample, send back from South Africa to process through our own lab. I think what we'll do is probably leave them there and just continue to sample our own material in our own lab as we go forward now.
Operator: Next question comes from Dalton Baretto with Canaccord. Please go ahead.
Dalton Baretto: I wanted to pick up on what Orest was asking about, just given the run-up in copper prices and your associated thinking. Just first of all, given where copper is today, have you guys made any adjustments at all in terms of your internal ROIC hurdle rates or how you're looking at projects?
David Strang: No. As we've always said, Dalton, with regards to ROIC, it's trying to maintain first quartile operating costs and trying to generate as higher return as possible with regards to the return based upon that. But certainly, as we are moving into a higher metal price environment, we are, as a team, constantly looking at the opportunities we have throughout the Curaca Valley with our existing projects and evaluating them against that ROIC. But let's be frank, we're, what, two and half months, three months into this market. We're not going to jump in within a two to three months' period and start saying we're going to do XYZ. As we go continue to work through this year, our focus is still to fill the mill at MCSA as quickly as we can in terms of generating the highest return we can. Whether that comes from some of our existing projects that are not in our mine plan right now remains to be seen as we progress through the year, but that is the first and foremost priority, is to fill the mill. And that is the intent, and that's the guidance that Noel and I have given to the team for their work this year, work towards doing that. And whether that's from the regional exploration program, whether that's from some existing projects or a couple of things that Anthea and her team are working on in terms of optimization within our existing operations remains to be seen. But we have a significant amount of levers to pull, I feel, this year to be looking at year-end, a very strong growth path going forward with regards to, ideally from my perspective, getting to potentially a doubling of production, but that remains to be seen. That's the target we'll work towards, and we'll see what we get at the end of the year.
Dalton Baretto: Perfect. That makes a lot of sense. And then just maybe switching gears to Boa. It sounds that you guys are fairly excited about what's coming out midyear. Do you think your intention to try and build this thing yourselves, or are you considering bringing in a partner on?
David Strang: That's far too early to even think about, Dalton. So we can't even look down that road right now. But I think as you have seen, our balance sheet continues to get stronger and stronger every month that we continue in this. We are one of the lowest-cost copper producers in the world. Our margins are some of the highest in the industry. So that just goes to the bottom line in terms of our profitability, continuing to grow and strengthen our balance sheet. But in terms of how we build Boa or fund Boa is we're not ready to have those conversations or to provide any guidance yet.
Dalton Baretto: Okay. And then just maybe a related question on that. Once you get past feasibility and you're looking at progressing Boa, is it going to compete for capital with the rest of your portfolio? Or will you view that as kind of a stand-alone project?
David Strang: We'll be looking at it as a stand-alone project. We have a number of levers that we, as I said, that we can pull within our organization. I think it's watch this space with regards to what we intend to be doing. But I think as a team, we're feeling fairly comfortable and confident that the projects that we intend to advance, whether the Deepening project, whether they're regional, whether ore sorting or even whether it's Boa, we feel comfortable and confident right now in the prevailing metal price environment that we're in, that our balance sheet has a strength to take those projects forward, and our background has the strength to finance those in an effective manner.
Christopher Dunn: And look, if I can add, I think one thing that's important to understand is Boa falls in this box as well. These are low-capital-intensity projects. That's one of the key aspects of Ero, is we don't have multibillion-dollar holes in the ground to build. All these projects, including Boa, are extremely low capital intensity, and one of the reasons we're excited about Boa is the returns against that capital intensity.
Operator: [Operator Instructions] The next question comes from Craig Hutchison with TD Securities. Please go ahead.
Craig Hutchison: Just one more follow-up on Boa Esperanca. Is the project fully permitted at this point? And I know that one of the optimization efforts was to look at increasing the overall pit size, targeting increased mineral reserves. If you guys go that route, have you heard any hindrance in terms of permitting?
David Strang: In terms of where the permitting is right now with regards to it, there is a construction permit that's been sitting on the government's desk in Para state for the last four to five years. And as you may or may not know, under a construction permit, we have not pulled the trigger in the past. And the reason it hasn't been pulled in the past is as soon as you pull that permit, you have to begin construction within two years of receiving the permit. And frankly, we were not in a position to do so. With respect to the project as it stands today, our current guidance that we are receiving is we can move forward on that construction permit as is and make adjustments going down the road. But I don't want to get drawn into that. It's part of the whole process that we're doing right now in terms of looking at the opportunity and the mine and the potential. I think don't get drawn down different roads with regards to different ideas that we're having without our guidance when it comes in the third quarter. We see significant opportunity with regards to value enhancement with that project but doesn't necessarily mean the pit's getting bigger.
Operator: The next question comes from Orest Wowkodaw with Scotiabank. Please go ahead.
Orest Wowkodaw: Thanks for taking the follow-up question. Hope, everybody, there is doing well. It has been a long time I cannot believe it now. But my question really, the follow-up just has to do with the balance sheet and whether you plan to continue adding on hedges on the BRL as just a matter of fact going forward. Or is that something that's sort of debated on a quarterly basis?
Wayne Drier: Noel, you want to take that one?
Christopher Dunn: Sure. I was just waiting for you. Orest, you're absolutely right, it's something we debate on a quarterly basis. I mean fundamentally, as you know, we are exposed obviously to the BRL. And when we bought the Company, every banker in Brazil was telling us the BRL was going to 2.90. We didn't take that view. But at the same time, it crossed our minds that we should have some degree of insurance in -- to flex our operations. You can't really hedge for more than a year anyway, as you know, maybe 18 months. And it's an insurance policy, it gives you a chance to reorganize your business. So that's why we started the collar program. Obviously, the pandemic kicked volatility up and moved -- weakened the fundamentals of Brazil and moved the exchange rate significantly, adversely in the context of the hedges because it's above the collar, but positively in the context of our business since we make dramatically more money. So what -- how do we think about it today? We think about it pragmatically. So we have existing hedges. And what we've been doing is working on the assumption that volatility will ultimately die down as the world emerges from the pandemic. In Brazil, as an export-driven economy, the oil and gas or soya beans or iron ore will benefit from a recovering world. You should, all other things being equal, expect the Brazilian currency to strengthen to a degree, although fundamentally given its domestic issues of savings rates and government debt, to limit to that expectation. So we are therefore pragmatic. We're not actively writing new collars. We do roll some of the existing collars. We also opportunistically take profits when we can or rather reduce the hedge when we can. So when the Brazilian real strengthened back towards five in the fourth quarter, we opportunistically went and took out a bunch of hedges, i.e., took a small cash loss. But that was a smart thing to do because fundamentally we thought that was a relatively short-term value and that the real would probably weaken again. So that gives you some insight. We manage it proactively. We're not seeking to hedge our operations fully. We're happy to just let things roll at this point, given where the exchange rate is. We don't anticipate the Brazilian currency to strengthen a lot. We expect to be in the 5 to 5.50 territory for most of this year, and then we'll see where it will go to. But this is a -- when you say hedging, people always think five years or something like that, but really this is just a 12 to 18 months' insurance policy. And so we manage it with that kind of mindset. Does that help?
Orest Wowkodaw: It does and just on sort of hedging strategy, any thoughts about adding some just downside protection on the copper price itself? Obviously, you got massive margins here. But is there any thoughts just to maybe give yourself some protection on the downside?
Christopher Dunn: Okay, I think you answered in that statement, we have massive margins. What we've always said to our shareholders when they've asked us this question, the best hedge of a volatile commodity price is to be a low-cost producer. And if you're a high-cost producer and you're having to spend $500 million to build a new plant or $1 billion to build a new project, then for sure, you're going to have to think about copper hedging because you've got to bridge your way to the revenues of that new project. But if you're in our case where you've got low-capital-intensity projects and you've got extremely low cash costs -- and we are tracking in the first two months of this year well through our guidance in terms of cash costs. But who knows how it's going to turn out? But if you have those characteristics to your business, it's really a tough speech to be saying to your shareholders, well, let me take away the copper price upside by hedging or buying puts here. It's not a speech that people -- well-received. I think -- so is this where we are? No. Tactically, if we were to get into a position where we had to spend $500 million, then for sure, we'll be thinking about it in this environment. But that's the only time that we'll really spend to that. And we've been very consistent with our shareholders that if we were to change that mindset, I think we'd have to signal it more clearly to our shareholders.
Orest Wowkodaw: Okay. And I would agree, I would not like to see you hedge the upside, but it's just more protection on the downside. Thank you.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Christopher Dunn: Again, thanks again to everybody for attending, and thank you for the questions. If you have any other questions or comments that you would like to receive from us, please don't hesitate to contact us. And we look forward to talking to you after our first quarter results when they come out in May. Thanks very much, operator.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.